Operator: Good day ladies and gentlemen and welcome to the Stoneridge First Quarter 2017 Conference Call. Currently at this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] At this time I’d like to turn the call over to your host to Matt Horvath. Sir you may begin.
Matt Horvath: Good morning everyone and thank you for joining us to discuss our first quarter. The release and accompanying presentation as well as our 10-Q has been filed with the SEC and is posted on our website at www.stoneridge.com in the Investor section. Joining me on today's call are Jon DeGaynor, our President and Chief Executive Officer and Bob Krakowiak, our Chief Financial Officer. Before we begin I need to inform you that certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature and include information concerning our future result or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found in our 10-Q filed with the Securities and Exchange Commission under the heading forward-looking statements. During today's call we will also be referring to certain non-GAAP financial measures. Please see the Investor Relations section of our website or the Appendix for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. After Jon and Bob have finished their formal remarks, we will open the call up for questions. With that I will turn the call over to Jon.
Jon DeGaynor: Thanks Matt and good morning everyone. Yesterday evening we released results for the first quarter. Our company continues to drive financial performance through topline growth and operational execution, which has resulted in growth in each segment and our ten consecutive period of improved quarter over quarter performance. On Page 3 let me briefly cover our first quarter results. Please note that for comparability to prior quarters and due to the fact that Orlaco only contributed for a portion of the first quarter, I will be discussing our financial performance excluding Orlaco, which is included in our electronic segment for consolidation purposes. Bob will be discussing our results inclusive of Orlaco later in this call. Going forward, we will discuss only our results on a consolidated basis as Orlaco will be included with our electronic segment for financial reporting purposes. While our control devices segment led our first quarter growth, I'm pleased that each of our business segments exceeded our expectations in the first quarter which resulted in not only 19% sales growth, but margin improvement across all segments. As we've discussed previously, our PST segment continues to contribute positive operating profit resulting in the third consecutive quarter of break even or better operating performance. This morning we're also increasing our 2017 guidance based on an updated view of our financial performance for the remainder of the year as well as the addition of Orlaco as part of our electronics segment. Bob will provide an additional detail on our revised guidance later in his discussion. Page 4 provides a summary of key financial metrics for the first quarter compared with the first quarter of 2016 excluding Orlaco for comparability purposes. Sales increased by 19% or $193.2 million for the quarter, an increase of $30.6 million relative to the first quarter 2016. This growth was driven by the annualization of our Electronic Shift-by-Wire as well as improved sales in both our PST and electronics segments. Operating income improved by 220 basis points quarter-over-quarter resulting in 7.4% of sales or $14.4 million as PST continues to generate positive operating profit and we focus on lowering material costs, improving our operating efficiency in all segments. Earnings per share were $0.30 which includes an effective tax rate of approximately 33.7%, which is an increase relative to prior periods due to the release of our valuation allowance as we discussed in our last call. Finally, we adjusted EPS to exclude transaction costs related to the acquisition of Orlaco. Bob will discuss our adjustments in more detail. Adjusted EPS was $0.33 compared to $0.31 in same period in 2016. Again, the prior period considers a substantially lower tax rate relative to the first quarter of 2017. We were able to achieve this financial performance through continued topline growth that exceeds our underlying markets and continued operating efficiency which is driving higher sustainable long-term margins. This growth comes as we continue to execute on our long-term strategy of driving higher content per vehicle through system-based solutions. We're pleased with the continued growth in each of our key financial metrics. Turning to Page 5, I want to provide some additional detail on the growth markets that we will continue to focus on as well as some specific products that are contributing to our current and future growth opportunities. As we've discussed we expect revenue growth over the planning horizon to exceed our underlying markets by two to three times. This growth will be driven by our focus on solutions in the intelligence, emissions, safety and security, and fuel efficiency markets, which are expected to grow at rates exceeding the underlying vehicle market. Our product portfolio comprises the basic elements of every vehicle electrical architecture and control architecture. I'm excited about the opportunities and solutions that Stoneridge offers in each of these areas. Turning to Page 6, as the market continues to demand smarter vehicles with more connectivity and user interaction both in passenger car and commercial vehicles, we are focused on helping our customers digitize the vehicle and also on providing solutions for increased vehicle user interface and data management. Stoneridge is a market leader in commercial vehicle instrument clusters and telematics units providing the primary points of contact for a vehicle user interface and data announcement in the cabin. Our instrument cluster has evolved from a piece of mechanical hardware that simply recorded mechanical inputs to a software driven fully configurable display capable of interacting with and providing real time data from systems throughout the vehicle. This evolution has resulted in increased vehicle intelligence and driver efficiency and safety. Concurrently, this evolution is driving higher content per vehicle for Stoneridge. We believe the instrument cluster business provides us with an exciting opportunity to help our customers develop smarter and safer vehicles and meet the needs of the driver. On Page 7, the emissions market has become an increasingly complex with increased industry focus on emissions controls and monitoring. This is resulted in additional emissions testing and sophistication of the emission system as well as additional compliance requirements. Our Soot Sensor was originally developed as a commercial vehicle application to test particular emissions at the tailpipe of the diesel trucks. We've been able to offer our Soot Sensor product to our diesel passenger car customers to help their vehicles comply with increasingly stringent regulatory requirements over the life of the vehicle. This is just another example of our ability to provide highly engineered solutions to solve our customer's problems quickly and cost effectively. On Page 8, fuel efficiency has been a focus of the automotive industry for many years. We provide a number of solutions to improve vehicle efficiency while maintaining the performance that drivers demand. We've discussed the benefits of our MirrorEye products on fuel efficiency previously with initial trial showing up to 2% fuels savings by replacing the existing mirror on commercial vehicles with our MirrorEye system. Our Front Axle Disconnect product is an actuator that allows for on-the-fly decoupling of the Front Axle in forward drive vehicles. Front Axle Disconnect not only improves fuel efficiency but provides a safe and easy to use solution for drivers. This product helped us diversify our end market exposure by adding a relatively higher priced system based solution that focuses on light duty passenger trucks and SUVs to our portfolio. Finally, on Page 9 we offer a number of products that improve safety and security on both passenger and commercial vehicle applications. As we have discussed in the past, we believe our MirrorEye product will drive significant growth in the future as fleets in North America and Europe replace or supplement their conventional mirrors with camera-based systems. We continue to receive positive feedback from OEM's across the world and fleet trials to commence with some of the largest fleets in North America this quarter. MirrorEye equipped trucks will be safer and more efficient and we are excited about the opportunity to bring our market leading products to our customers. These examples are only a portion of the exciting products being developed by Stoneridge. We will continue to drive our growth through our existing portfolio including addition of Orlaco technologies as well as the development of new products addressing these mega trends. Turning the Page 10, I'm pleased with our achievements during the quarter, each segment contributed profitable growth to the overall business that met or exceeded our expectations. As an organization we continued to deliver on our commitments. The first quarter was our 10th consecutive quarter of year-over-year improvement. Shift-by-Wire was a key contributor to our 19% revenue growth in the first quarter. Our continued focus on margin improvement drove an increase in operating margin of 220 basis points relative to the first quarter of 2016 and PST contributed to our financial performance by delivering the third consecutive quarter of break even or better operating performance. We expect continued growth in our business outpacing underlying markets which will be led by our focus on highly engineered innovative products that provide high quality solutions to our customers and we will continue to execute on our long-term strategy and utilize our capital to drive shareholder value to strong financial performance. With that introduction, I will turn it over to Bob to discuss our financial results in more detail.
Bob Krakowiak: Thank you Jon. Turning to Slide 12, inclusive of Orlaco’s financial performance as part of the electronic segment, net sales in the first quarter were 204.3 million with a gross profit of 29.9% of sales or $61.2 million. Operating income was 15.2 million or 7.4% of sales and EBITDA was 21.6 million or 10.6% of sales. Earnings per share was $0.32. Considering an effective tax rate of 33.3%. Adjusted EPS was $0.38. Adjusted for transaction costs related to the acquisition as well as the expense related to the step up of acquired inventory. More specifically, the control device segment net sales increased by $26.5 million primarily as a result of new products sales in the North American automotive market and increased sales volume in China. Control devices operating income increased primarily due to an increase in sales which was partially offset by warranty settlement cost and higher SG&A. The electronics segment net sales increased primarily due to the increase in European off-highway vehicle products related to the acquired Orlaco business as well as an increase in sales volume in our European commercial vehicle products. Electronics operating income increased primarily due to higher sales resulting from the Orlaco acquisition and lower material costs, which were partially offset by higher SG&A and design and development costs related to Orlaco. PST segment net sales increased by $4 million or 22.8% including the impact of favorable foreign currency exchange rates. PST’s operating performance improved primarily due to higher sales, favorable sales mix, lower material costs and overall cost reductions throughout the business. PST’s improved operating performance is expected to continue throughout the remainder of 2017. This morning we are providing revised guidance on our 2017 financial performance inclusive of Orlaco’s financial contribution and considering our revised view for the remainder of 2017. We expect continued topline growth and are guiding 2017 revenue to a midpoint of $785 million relative to a midpoint of approximately $780 million in the guidance we issued on a fourth quarter call. Similarly, we are adjusting our gross and operating margin ranges up 50 basis points and increasing our EBITDA margin range to 10.5% to 11.5%. Our revised guidance increases our adjusted EPS range by $0.10 to $0.15 resulting in a revised range of $1.10 to $1.30. Again, our guidance considers an effective tax rate range of 30% to 35%. On Page 13, I would like to highlight our first quarter Shift-by-Wire sales as this product drove significant improvement quarter over quarter. As we discussed previously on the fourth quarter call Shift-by-Wire launched in the first quarter of 2016 but did not achieve normalized volumes until later in the year. As a result, first quarter 2016 Shift-by-Wire sales were $9.4 million. This is in comparison to the current quarter where Shift-by-Wire contributed $28.4 million of revenue. We expect normalized volume for Shift-by-Wire for the remainder of 2017 resulting in lower quarter over quarter growth related to this product for the balance of the year. Turning to Slide 14, we continued to be pleased with the acquisition of Orlaco and the combined capabilities of the businesses as part of our electronics segment. To reiterate the terms of the acquisition, we paid a base purchase price of EUR75 million with additional contingent consideration of up to EUR7.5 million. Through this acquisition we continue to advance our long-term strategy of high-value products and systems, increased technology content per vehicle and increased diversification of our business. We continue to partner with the Orlaco team to realize the synergies between our existing activities and diversify our customer base and product portfolio to drive future growth as one company. Slide 15 highlights the diversity of Orlaco’s business. Orlaco serves a number of end markets that Stoneridge did not participate in prior to the transaction. So in 33% of its products to the heavy equipment market followed by 24% to the corporate market. Stoneridge and Orlaco overlap in the truck market where Orlaco had 14% of its sales in 2016 followed by crane applications at 13% and maritime at 5%. In 2016, Orlaco recognized 71% of sales in Europe and 21% in North America. Orlaco’s inclusion into our electronics segment will provide for additional, regional and end market diversification as well as sell through of our existing products. Page 16 outlines our adjustments to EPS related to the acquisition and additional detail. We recognize a step up in the value of acquired inventory of approximately $1.6 million. That step up will be accounted for as an expense over the first two quarters of 2017. The after tax impact of the expense is approximately $0.03 per share in the first quarter. Additionally, we incurred transaction expenses related to the acquisition of Orlaco of approximately $1.2 million, resulting in an after-tax EPS adjustment of $0.03. Rounded, total after tax adjustment is approximately $1.5 million or $0.05 per share. We will focus on the value creation process in order to optimize synergies related to the acquisition as outlined on page 17. We have begun to leverage Stoneridge’s customer relationships and products to expedite growth of the existing Orlaco product offerings and provide additional end market opportunities for Stoneridge’s current portfolio. As we have discussed previously, we believe MirrorEye represents a substantial growth opportunity and we will continue to utilize Orlaco’s engineering capabilities and technologies to advance our product offerings in the ADAS space. We expect to recognize cost efficiencies throughout our supply chain and we’ll leverage best practices from both organizations to drive operational improvement across the business. We expect the acquisition of Orlaco to drive additional opportunities and growth for our electronics segment. Moving to slide 18, this morning, we are increasing our 2017 financial guidance. We are revising our sales guidance to a midpoint of $785 million, relative to approximately $718 million previously due to improved expectations for the remainder of 2017 as well as the addition of Orlaco to our electronics segment. As Jon mentioned, while we provided some insight excluding Orlaco this morning, we will not be providing that level of detail moving forward, as we include Orlaco in our electronics segment for financial reporting purposes. We are excited to have Orlaco as part of Stoneridge and look forward to accelerated growth as a result. In addition to revising our sales estimates upward, we have revised our midpoint gross and operating margin guidance up by 50 basis points. Similarly, we have revised our EBITDA margin expectations up to 10.5% to 11.5%. Again, this guidance considers an effective tax rate of 30% to 35%, relative to last year's effective tax rate of 12.2% in the first quarter due to the release of our valuation allowance as discussed on the fourth quarter call. Our revised guidance, considering the adjustments discussed previously, includes revised midpoint EPS guidance of $1.20, up from the previously provided midpoint of approximately $1.08. Overall, we expect continued strong financial performance across the business. Moving to slide 19, in closing, I want to reiterate that we are proud of our first quarter. We delivered strong financial performance, resulting in our tenth consecutive period of quarter-over-quarter improvement. We continue to drive growth across each segments. We are pleased with Orlaco’s contribution to the electronics segment in the first quarter. We expect to continue to recognize synergies that will create value for our shareholders. Finally, we have revised our 2017 guidance upwards for each metric, considering our strong start to the year, our expectations for continued growth and margin expansion and your vision of the Orlaco business into our electronics segment. We will continue to deliver on our commitments, resulting in profitable grow at each segment and value creation for our shareholders. Thank you for joining us today. Now, I would like to open up the call for any questions.
Operator: [Operator Instructions] Our first question comes from Brian Colley of Stephens. Question, sir.
Brian Colley: So I appreciate all the details in the slides, just giving the numbers, excluding Orlaco and including Orlaco, but I was curious if you could just provide any details on how much of the $0.10 to $0.15 increase to your EPS guidance was driven by Orlaco versus an improved outlook or just outperformance in the quarter from the other segments?
Jon DeGaynor: Sure, Brian. Thanks for the question. So, Brian, the way that we're looking at this is with the acquisition of Orlaco, we're really focused on running this as one company. So when we’ve updated our guidance, our guidance is inclusive of the improvement of the underlying business, prior to the Orlaco acquisition plus the Orlaco acquisition. We're not breaking out the guidance separately.
Brian Colley: Okay. That's fair. So just given you realized $0.05 of accretion from Orlaco in the first quarter, your guidance would imply that that number comes down a bit over the rest of the year. Could you just talk about what's driving that, whether that's seasonality in Orlaco’s business or just a slightly lower amount of accretion you’re expecting?
Jon DeGaynor: Yes. So, Brian, with respect to your question, there's a limited amount of seasonality in the business in terms of the annual impact. Again, I don't want to go down the path of talking about Orlaco separately from the overall business. Again what I can reiterate for you is that the guidance that we've provided for the remainder of the year takes into account the acquisition plus the improvement in the underlying business as well and it's meant to be inclusive.
Bob Krakowiak: And Brian what we can say is both sides for Orlaco and the base business are both performing very well. So this isn't just an Orlaco impact that's in our improved guidance.
Brian Colley: Okay. That's fair. And then just looking at the OEM volumes for some of your Shift-by-Wire platforms, it looks like they’re seeing some declines. Could you just talk about how the Shift-by-Wire volumes are performing relative to your expectations?
Jon DeGaynor: Well, Brian, as we talked multiple times, we use external sources of data to forecast our volumes over the longer period of time being IHS and LMCA depending on the specific product or the specific end market and then we adjust based on customer requirements. What I can say to you is over the year, we have improvements in certain pieces of the Shift-by-Wire volume, one platform being ahead or behind and we adjust those on the fly based on releases from the customer. So at this point, Shift-by-Wire is effectively ahead of plan for this year and we will adjust as our customers make changes. But right now, it's ahead of our plan.
Brian Colley: Okay. That's helpful. And then I wanted to shift over to your ELD product that you’ve talked about in the past. Just curious if you could give an update on where we stand with that product and when you think that could start generating revenue, just curious if you think it's something that could be meaningful, either this year or next, given the mandate goes into effect at the end of this year?
Jon DeGaynor: Yes. So thanks for asking the question, Brian. We have just finished FMCSA approval of that product and started to see very limited sales in Q2. Our view is that it won't have material sales for us in 2017 that the opportunity is greater in 2018, but we are very confident in the product. We're one of the first to get the FMCSA approval and we're looking forward to the impact that it can have on the end of this year and into next year.
Operator: Thank you. Our next question comes from Jimmy Baker of B. Riley. Your question, sir.
Austin Drake: Yea. Good morning. This is Austin Drake on for Jimmy. I just wanted to touch on the Orlaco operating margin in Q1. I think it was below their 2016 unaudited financials. If there is seasonality applied to that or if there's an accounting adjustment or just what would cause that change? Think you.
Bob Krakowiak: Yes. With respect to Orlaco’s performance in the first quarter relative to the 2016 results, again, there isn't a significant amount of seasonality with respect to Orlaco’s volumes during the course of the year. So we did have some adjustments for amortization and interest expense as well that impacted that during the quarter. And also we have the inventory step-up as well, Austin that impacted it. So you have to take those things into account as well as a result of the purchase price adjustments.
Jon DeGaynor: But Austin, let us reiterate one more time that the base business is performing very well. It’s -- we are -- that business is performing at or above our expectations as we’re reporting the deal together.
Austin Drake: And not sure if I’ve missed this, but last quarter, you guys provided the backlog, just wondered if you could provide that again?
Bob Krakowiak: So the backlog is something, Austin that we will provide, but we will provide it on an annual basis going forward. We're not going to provide it on a quarterly basis. It's something that we’ll update annually based upon our business wins.
Operator: Thank you. [Operator Instructions] Actually, our next question comes from Brian Colley of Stephens. Question, sir.
Brian Colley: Hey, guys. I had a quick follow-up on PST. Just thinking about the PST business and the potential for demand in Brazil to rebound at some point, how should we be thinking about the incremental operating margins for that segment after all the cost reductions you've made over the past several years?
Jon DeGaynor: So Brian, we haven’t given specific guidance relative to contribution margins for PST, but we have said for the Stoneridge business, our contribution margins are 2.5 to 3 times our EBITDA margin and that’s a reasonably proxy to use for PST. And with the structural changes that we’ve made Brian that’s where the business is, that’s a great proxy. Again, we spend a lot of time talking about PST over the different calls and it’s nice not to have to talk about performance misses and really to be able to talk about the performance of the business and its potential for growth, particularly as the market starts to come back.
Brian Colley: Right. That’s helpful color there. And then lastly, I just wanted to ask about acquisitions. I know you're just complaining Orlaco, but I was curious just looking forward, if you're less likely to deploy capital towards another deal in the near term or if you’re still actively looking for M&A opportunities?
Jon DeGaynor: I think Brian we’ve talked about this multiple times and hopefully the Orlaco acquisition is an example of the sort of acquisitions that we would do, ones that help us from a technology standpoint, one that help us from a market and a customer diversification standpoint and also ones that makes financial sense. We are evaluating multiple deals currently and we will continue to look at it and we still believe between our organic growth opportunities and inorganic opportunities like M&A that that's the right way for us to deploy our leadership capabilities and our capital.
Brian Colley: That's helpful. And then any color on the deals you're looking on now, are you looking to add businesses that would fit more under the control devices or electronics business?
Jon DeGaynor: Brian, I can't talk about anything specific because they're way too early in the process, but what we look at as we look at both sides and we have a pretty clear matrix of what any individual deal will do to strengthen our business or fill what we see our technology or other strategic gaps. So there isn't one side of the business versus the other where we are specifically targeting. There are challenges in each of those or opportunities in each of those to bolster those businesses and that's how we look at M&A opportunities, but I can tell you that we are looking outbound as well as taking inbound information on a regular basis with regard to M&A opportunities.
Operator: Thank you. I show no further questions in the queue at this time. I’d now like to turn the call over to Jon DeGaynor. Sir you may continue.
Jon DeGaynor: Thank you and thank you everybody for the questions. Let me just summarize and say I can assure you that our company is committed to continuing to drive shareholder value through strong operating results, profitable new business and focused deployment of our available capital. We are confident that our actions will result in continued success in 2017 and beyond and we look forward to speaking to you on our next quarterly call. Thank you.
Operator: Thank you, ladies and gentlemen for attending today’s conference. This concludes the program. You may all disconnect. Good day.